Operator: Good day and welcome to the Danaos Corporation Conference Call to Discuss the Financial Results for Three Months Ended September 30, 2017. As a reminder, today's call is being recorded. Hosting today’s call is Dr. John Coustas, Chief Executive Officer of Danaos Corporation and Mr. Evangelos Chatzis, Chief Financial Officer of Danaos Corporation. Dr. Coustas and Mr. Chatzis will be making some introductory comments and then we will open the call to a question-and-answer session. I would now like to turn the conference over to Mr. Chatzis. Please go ahead.
Evangelos Chatzis: Thank you, operator. Good morning everyone and thank you for joining us this morning. Before we begin, I quickly want to remind everyone that management's remarks this morning may contain certain forward-looking statements, and that actual results could differ materially from those projected today. These forward-looking statements are made as of today and we undertake no obligation to update them. Factors that might affect future results are discussed in our filings with the SEC, and we encourage you to review these detailed Safe Harbor and Risk Factor disclosures. Please also note that where we feel appropriate, we will continue to refer to non-GAAP financial measures such as EBITDA, adjusted EBITDA and adjusted net income to evaluate our business. Reconciliations of non-GAAP financial measures to GAAP financial measures are included in our earnings release and the accompanying materials. With this, let me now turn the call over to Dr. Coustas, who will provide the broad overview of the quarter.
Dr. John Coustas: Thank you, Evangelos. Good morning and thank you all for joining today's call to discuss our results for the third quarter 2017. Our earnings for the third quarter of 2017 proved markedly when compared to the earnings of third quarter of 2016 which were negatively impacted in the aftermarket with Hanjin bankruptcy. This is mainly the result of our high charter contract coverage which remains at 87% for the next 12 months based on current operating revenues and 71% in terms of contracted operated days. Adjusted net income of 30.1 million for this quarter represented an increase of 7.3 million compared to 22.8 million for the third quarter of 2016. This increase was attributable to a 6 million increase in the operating revenues of the vessels that were previously chartered to Hanjin that had not recorded any operating revenues during the third quarter of 2016, and improved operating performance of 1.3 million. As previously reported, the Company is in breach of certain financial covenants as a result of the Hanjin bankruptcy. We are currently engaged in discussions with our lenders regarding refinancing substantially all of our debt maturing in 2018. These discussions encompass potential amendments to the associated financial covenants that have been breached. In the meantime, we continue to generate positive cash flows from our operations and currently are in a position to service all our operational obligations as well as all scheduled principal amortization and interest payments under the original terms of our debt agreements. The charter market for the sub 4,000 TEU vessels is relatively stable, with charter rates slightly higher than the lows of 2016, while the size segment between 4,000 to 5,000 TEU is facing more pressure. For larger vessel sizes, the fourth quarter was typically the low season of the year. We will have more clarity on the state of that segment as we approach the big season in the spring of 2018. We do not expect the material improvement in the market environment next year given the large number of vessel deliveries scheduled for 2018. Danaos continues to have low near term exposure to the weak spot market as a result of aforementioned strong charter coverage. During this extended period of market weakness which has presented many challenges, we remain focused on taking necessary actions to preserve the value of our company by managing our fleet efficiently and taking prudent measures to manage and ultimately deleverage our balance sheet. With that, I'll hand over the call back to Evangelos, who will take you through the financial for the quarter.
Evangelos Chatzis: Thank you and good morning again to everyone, and thank you for joining us today. I will briefly review the results for the quarter and then give the call participants the opportunity to ask questions. During the third quarter of 2017, we had an average of 55 containerships as was also the case for the third quarter of 2016. Our adjusted net income was $30.1 million or $0.27 per share for the quarter compared to $22.8 million or $0.21 per share of adjusted net income for the third quarter of 2016, an increase of 32%. This increase of 7.3 million is attributable to a 1.8 million increase in operating revenues, a 4.6 million decrease in total operating expenses and 1.3 million decreases in realized losses on derivatives and a $1 million improvement in the operating performance of our equity investment in Gemini Shipholdings Corp, which were partially offset by a 1.4 million increase in interest expense as a result of higher LIBOR rates. Vessel operating expenses decreased by 1.9% or 0.5 million to 26.1 million in the current quarter from 26.6 million for the third quarter of last year while the average daily operating cost per vessel for vessel on time charter was $5,569 per day for the current quarter and remains as well as the most comparative in the industry. G&A expenses slightly decreased to 5.4 million in the current quarter compared to 5.5 million in the third quarter of 2016. Interest expense excluding amortization of deferred finance costs increased by 1.4 million to 19.3 million in the current quarter compared to 17.9 million in the third quarter of 2016, mainly as a result of approximately 0.5 percentage point of higher LIBOR rates between the two quarters. These increasing LIBOR rates was partially offset by our persistent efforts to deliver our balance sheet indicatively during the last 12 months, we have reduced our indebtedness by 237 million. Finally adjusted EBITDA increased by 5.7% or 4.3 million to 79.8 million in the current quarter from 75.5 in the third quarter of 2016 for the reasons outlined earlier on this call. With that, I would like to thank you all for listening to the first part of our call. Operator, we are ready to open the call to Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] It appears we have no questions. Oh, I apologize we do have one question coming at this from Benjamin Kovacka of Reorg Research. Please go ahead.
Benjamin Kovacka: I was just wondering. I have two questions actually. One is related to upcoming maturities, especially regarding the RBS facility as far as the HSH, ABP and PB facility. And whether you're working on some kind of plan on how to deal with the upcoming maturities in December 2018? And my second question was, do you expect to keep the bank raising the covenants? Thank you very much.
Dr. John Coustas: As we already said, we're working with the bank including our RBS and [HSA], which we mentioned. For refinancing of this facility and we do not have, I mean we're working at this moment, we cannot commit to any specific let's say time line for that. As you know, the actual maturity of this loan is end 2018. And we will as soon as we will have something firm of course we're going to inform the markets accordingly.
Operator: [Operator Instructions] As we have no further questions at this time, I'd like to turn the call back over to Dr. Coustas for any further comments or closing remarks.
Dr. John Coustas: Thank you all for joining this conference call and your continued interest in our story. We look forward to hosting you in our next earning calls. Have a nice day.
Operator: This concludes today's teleconference. We’d like to thank everyone for their participation and have a wonderful afternoon.